Lauren Torres: Thank you for joining us to review Independence Realty Trust Second Quarter 2021 Financial Results and Recent Merger Announcement. On the call with me today are Scott Schaeffer, our Chief Executive Officer; Jim Sebra, our Chief Financial Officer; and Farrell Ender, our President. Today's call is being webcast on our website at www.irtliving.com. Please note that given today's announcement, there will be no Q&A session following management's remarks on this call. There will be a replay of the call available via webcast on our Investor Relations' website and telephonically. Before I turn the call over to Scott, I'd like to remind everyone that there may be forward-looking statements made on this call. These forward-looking statements reflect IRT's current views with respect to future events, financial performance and the recently announced merger. Actual results could differ substantially and materially from what IRT has projected, and there can be no assurance that IRT will consummate the merger within the expected time frame or at all.
Scott Schaeffer: Thank you, Lauren. First, let me thank all of you for joining us on short notice to participate in today's call. We are excited to share with you the announcement of our proposed merger with Steadfast Apartment REIT, which joins together two very similar, high-quality portfolios with complementary geographic footprints in the highly desirable Sun Belt region of United States. On a pro forma basis, the combined company will be a top three publicly-traded multifamily REIT focused on the Sun Belt region and will own a portfolio of 131 apartment communities with over 38,000 units across 16 states. Upon completion of the proposed merger, we will have a combined equity market capitalization of approximately $4 billion and a total enterprise value of approximately $7 billion. It's important to highlight that this transaction will be immediately accretive to core FFO per share by approximately 11%. Before I go into greater detail on this transaction, including deal rationale and expected benefits, we would first like to touch upon our second quarter results and why we remain incredibly optimistic about the future of IRT. Strong momentum continues year-to-date as we benefit from our proven portfolio of assets in non-gateway markets. In particular, our presence in the Sun Belt is a driving force behind our performance as this region continues to experience a notable lift from favorable population employment growth trends.
Farrell Ender: Thanks, Scott. We are incredibly pleased with our results. In the second quarter, our same-store occupancy grew 300 basis points to 96.1% from 93.1% a year-ago. This has continued in July with total portfolio average occupancy at 96.1%, up 230 basis points year-over-year. On a lease-over-lease basis for the same-store portfolio, new lease rates increased 11.4% and renewals were up 3.7% during the second quarter, yielding a combined lease-over-lease rental rate increase of 7.3%. Strong trends continue in the third quarter-to-date, with new leases having increased 17.5% led by our value-add communities, while renewed leases are up 4.6% with a blended lease-over-lease rental rate increase of 6.7% for our same-store portfolio. We continue to see strong resident retention with a second quarter retention rate of 54.8%, consistent with the second quarter of 2021 and this rate has improved to 64.1% in July, up from 59.1% a year-ago.
James Sebra: Thanks, Farrell, and good afternoon, everyone. Beginning with our second quarter performance update, net income available to common shareholders was $3.4 million, up from $800,000 in the second quarter of 2020. During the second quarter, core FFO grew to $20.2 million, up 22.7% from $16.4 million in Q2 2020. Core FFO per share during Q2 was $0.20, 17.6% higher than the second quarter of last year at $0.17 per share.
Scott Schaeffer: Thanks, Jim. Now I would like to further discuss IRT's announcement to merge with Steadfast. We are excited to share this news with you and believe that this is a natural combination of highly complementary portfolios, which will allow IRT and Steadfast to together strengthen our presence in the multifamily sector, particularly in the Sun Belt markets where we see substantial room for growth. First, I would like to share with you some details on the transaction. This will be an all-stock merger transaction, where Steadfast stockholders will receive 0.905 shares of IRT stock for each Steadfast share. IRT will retain its corporate name and ticker symbol, and our executive management team will be joined by Ella Neyland from Steadfast as IRT's Chief Operating Officer. Ella is an experienced multifamily executive, and we look forward to adding her experience to our management team. The combined entity is expected to have an equity market capitalization of approximately $4 billion and a total enterprise value of approximately $7 billion. Expected closing will be in the fourth quarter of 2021, pending IRT and Steadfast stockholder approval. And we expect the transaction to be immediately accretive to key earnings metrics, realizing approximately 11% core FFO accretion with additional earnings enhancement potential.
Q - :
Scott Schaeffer: We, again, want to thank you for joining us today.